Operator: Good afternoon, ladies and gentlemen, and welcome to the Perimeter Medical Q4 2024 Conference Call. At this time all lines are in listen-only mode. Following the presentation we'll conduct a question-and-answer session. [Operator Instructions] This call is being recorded on Wednesday, March 26, 2025. I would now like to turn the conference over to Stephen Kilmer, Investor Relations. Thank you. Please go ahead.
Stephen Kilmer: Thank you. Good afternoon, everyone. Let me start by pointing out that this conference call will include forward-looking statements within the meaning of applicable Securities Laws. These may include statements regarding the future financial position, business strategy and strategic goals, commercial activities and timing, competitive conditions, research and development activities, projected costs and capital expenditures, research and clinical testing outcomes, the potential benefits of our products, including Perimeter S-Series OCT, Perimeter B-Series OCT and Perimeter ImgAssist, Perimeter's ability to broaden its user base and expected approval of its proprietary AI, expectations regarding new products and the timing thereof and expectations regarding opportunities for market expansion. Forward-looking statements are subject to numerous risks and uncertainties, many of which are beyond our control, including the risks and uncertainties described from time to time in our public filings and press releases, which are posted on SEDAR+. Our results may differ materially from those projected on today's call. No forward-looking statement can be guaranteed. Perimeter undertakes no obligation to publicly update or revise any forward-looking statement, whether as a result of new information, future events or otherwise, other than as required by law. For the benefit of those who are new to the Perimeter story, I would like to take a moment to summarize our business. We are a medical technology company working to transform cancer surgery with ultra-high resolution, real-time advanced imaging tools to address areas of high unmet medical need. We are currently commercializing our FDA-cleared Perimeter S-Series OCT system, which provides real-time cross-sectional visualization of excised tissues at the cellular level. Our breakthrough device designated investigational Perimeter B-Series OCT system, which combines our proprietary ImgAssist artificial intelligence technology with wide field optical coherence tomography, represents our next-generation device. As we will discuss in more detail today, B-Series OCT with ImgAssist AI 2.0 has been evaluated in a pivotal clinical trial in breast-conserving cancer surgeries or BCS. On the call representing the company are Adrian Mendes, Perimeter's Chief Executive Officer; and Sara Brien, the company's Chief Financial Officer. With that said, I'll now turn the call over to Sara.
Sara Brien: Thank you, Steve. Good afternoon, everyone, and welcome to our fourth quarter and full year 2024 conference call. On behalf of the management team and everyone at Perimeter, I would like to thank you for your ongoing interest in our company. For those of you who are shareholders, we appreciate your continued interest and support. I will turn the call over to Adrian in a moment. However, before I do, I'd like to provide a brief update on our financial results. To streamline things, all the numbers we will refer to have been rounded, so they are approximate and also reported in U.S. dollars. For the three months period ending December 31, 2024, the company recorded revenue of $293,000, which consisted of the sale of consumables and system leases as well as from the sale of ESP warranty programs. That represented a 303% increase over Q4 2023. Operating expenses for the fourth quarter were approximately $4.7 million, down 6% from the same period in 2023. Fourth quarter 2024 net loss was approximately $3.4 million compared to approximately $5.5 million in the three months ending December 31, 2023. The 35% decrease in net loss was primarily a result of higher foreign exchange gain in 2023, partially offset by higher headcount and increased costs as we completed our clinical studies during 2024. Cash used in operating activities in the 12 months ending December 31, 2024, was approximately $14.7 million, essentially unchanged from 2023. As of December 31, 2024, cash and cash equivalents were approximately $6.2 million. This amount does not include the Cancer Prevention and Research Institute of Texas grant receivable of approximately $2 million, which was related to the reimbursement of our pivotal clinical trial project costs as of the end of 2024. The company continues to evaluate opportunities to add more cash to the balance sheet in order to continue to execute on our growth strategy. With that, I'll now turn the call over to Adrian.
Adrian Mendes: Thanks, Sara, and thanks again, everyone, for your time and attention today. 2024 was a very exciting year for Perimeter. We made progress on almost every front within the company. We had significant growth in the number of surgeons using our product to help their patients. And with that, along with new revenue streams, this resulted in a significant increase in sales. We wrapped up our pivotal trial with positive results, and we made great progress in the development of our AI capabilities, which will make their way to market after we get FDA approval for our B-Series product. As Steve mentioned, we are currently commercializing our first FDA-cleared intraoperative imaging technology, the S-Series OCT, which provides surgeons with image resolutions capable of visualizing tissue structures down at the cellular level at the critical two millimeter depth while assessing margins real time in the OR. It is cleared under a general indication and has not been evaluated by the FDA specifically for use in breast tissue, breast cancer, other types of cancer margin evaluation and reducing re-excision rates. Our goal has been to seed the market with S-Series OCT in order to create a strong network of early adopters and technology champions in preparation for potential clearance of our next-generation system, B-Series OCT with ImgAssist AI 2.0. The ultimate product promise of Perimeter's B-Series is greater peace of mind, both for the surgeon who, no matter how skilled currently faces nearly one in five odds of needing to perform repeat surgery due to positive margins and for the breast cancer patients who under the current paradigm typically have to wait and worry for up to 10 days for their surgeon to receive a postoperative pathology report, which will determine whether they will have to go through the emotional physical trauma of a second surgery due to cancer left behind. In November, we announced positive top line results for the pivotal study evaluating the use of B-Series with ImgAssist in breast conserving surgery. The prospective multicenter randomized double-arm clinical trial enrolled approximately 530 women aged 18 years and older, undergoing BCS for the treatment of stage zero to Stage III invasive ductal carcinoma and/or ductal carcinoma in situ. Participants were recruited from 10 clinical sites across the U.S. and randomized in a two to one ratio to the device and control arms. The pivotal trial met its primary endpoint, achieving a statistically significant reduction in patients with residual cancer during surgery. These results demonstrate a super superiority of the B-Series ability to aid surgeons in achieving clear surgical margins during surgery, potentially lowering the need for reoperation. And supported by this positive trial results, last week, we announced our submission of a premarket approval application to the FDA for the technologies used during BCS in the United States. The FDA PMA submission is a major milestone, our first regulatory approval application for our AI-enabled wide field OCT technology as well as for a specific indication label as we look forward to working with the agency as it reviews our PMA application. If and when FDA clearance for Perimeter's B-Series is obtained, that will allow for the full commercial launch of the B Series, representing the next major step in our go-to-market strategy and an opportunity to significantly broaden our user base across the U.S. Based off of all that, hopefully, you can see from today's press release and call, we're quickly approaching what could potentially be a major inflection point here at Perimeter. So to summarize, we are seeing continued positive commercial traction with the current S-Series product as demonstrated by revenue growth in Q4 and all of 2024 and recent expansion to two new states, New Mexico and Tennessee. The pivotal trial of our next-generation AI-enabled B-Series system met its primary endpoint, achieving statistically significant reduction in patients with residual cancer during surgery. These results demonstrated super superiority of the B-Series ability to aid surgeons in achieving clear surgical margins during surgery, potentially lowering the need for reoperations. Based upon the positive pivotal trial results, we filed a PMA application for the B-Series with ImgAssist 2.0 last week. And finally, we're looking forward to several potential value inflection points throughout 2025, not the least of which will be the presentation of detailed results from the B-Series trial at the 26th Annual Meeting of the American Breast Cancer Surgeons Conference, which will take place in Las Vegas, April 30 through May 4. In 2024, our team laid a lot of groundwork for future growth, and in 2025, we are going to continue to build upon that foundation. This is an exciting moment for all of us at Perimeter, and we look forward to keeping you updated on our progress. And so with that, I'll now open up the call for your questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Your first question comes from the line of Michael Freeman from Raymond James Company. Please go ahead.
Michael Freeman: Good afternoon, Adrian, Sara and Steve. Congratulations on a big year. My first question is on the actual PMA regulatory process. Congratulations on getting this in [indiscernible]. This was a ton of work. I'm curious if you can describe like what the process looks like? Like what sort of interactions will you have with the FDA? What are you expecting on time lines? And then connected to this, I wonder if you could talk about the benefits of having a specific indication label.
Adrian Mendes: Sure. Thanks, Michael. Okay. So I'll start -- I'll answer your questions in order. First, from a time line standpoint, we're estimating about a year for approval. That's on average what a PMA application kind of takes to work its way through the FDA. We're hopeful that possibly can be quicker than that. We have breakthrough device designation, which has allowed us to have what the FDA calls sprint conversations with the review team, which we've taken advantage of a few times last year. So there's some familiarity already in the review team of our technology, how it works, what we're trying to achieve. We designed -- the trial design, the study design was in close collaboration with the FDA. So we're trying to do everything we can to speed up that process. The key things that need to happen are there's a few different audit points. So we're a device company, right? So there's a manufacturing audit that needs to occur. There is an audit of our -- an internal audit, systems control process audit that we have within the company itself. So that will be over the next six to nine months. I guess, the next key milestone is at the 100-day mark, so 100 days from a few weeks ago. There's sort of a time line at which within that time line, the FDA has to provide questions back to us. We have to answer to them. So we're looking towards the next sort of concrete deadline the FDA has to work towards within that 100 days from three or four months from now. And it kind of goes from there. So we'll keep everyone updated as that goes along. Obviously, this is a big area of focus for us. So to the second question about the indications, yes, this is a big deal for us. As I mentioned, our S-Series has what's called a general tissue indication, but no indication around -- specific indication around breast tissue specifically or breast cancer specifically or reoperation rates. And so as a company, what you're allowed to market your device and talk about the benefits of your device is very tightly controlled by the FDA and it has to be on label. Because we don't have those labels on the S-Series product, it somewhat constrains us in how we would like to talk about our product. What the B-Series with the trial that we ran, once it gets through approval, allows us to talk very explicitly about those points. And the reason for that is because the trial design was such focused on breast cancer, focused on reoperation rates. So it's right on point. So a part of our application is to provide to the FDA those claims we would like to make, which includes all those things I just said. And a part of their approval process would then allow us to attach those claims to the B-Series product. From a business standpoint, what that allows us to do is it really -- I mean, it doesn't take a great stretch to understand that allows us to make our marketing, our advertising much more precise. If you look at the types of words and messaging we're able to provide right now, it's not as strong as it will be with the B-Series. And so what that then allows us to do, feeds into the acceleration of growth of the business with the B-Series and really target that market very precisely. Does that answer your question, Michael?
Michael Freeman: Definitely, Adrian. Now next question, I'm curious how you're going to go through this regulatory process, and that will be its own bit of work. I'm curious how you are preparing for and investing behind the potential launch of the B-Series in the meantime. I trust this is a narrow path to walk. How are you guys thinking about it internally?
Adrian Mendes: Yes. Great question. So the biggest variable we have to work with is actually the timing of that approval, right? We have to build out a commercial organization. We have to ensure we've got potential customers lined up. We have to build out our marketing organization. So there's investment we need to make on those fronts to really move the company footing from a sort of a clinical trial R&D focused footing to a commercialization go-to-market focus. So we've started that work, obviously, well, we started a long time ago. We've accelerated that work since we've launched the -- into the FDA, the PMA application. The trick, and here's the fine line we have to walk is investing towards that in such a way where we're not investing too early such that we're now fully ready to go and waiting another six months for approval or investing too late where we lose opportunity where we get the approval and we're not ready. So it's a continuous management process, a continuous reevaluation of how fast and how quickly we're spending the money and then keeping close tabs with sort of the progress of the application through the FDA. Fundamentally, what we're doing with the S-Series right now, and you saw from the results, we had pretty good success last year with the S-Series, growing revenue streams and surgeons and users is -- those are the advocates we'll have for the B-Series. Those are folks that will get -- that we will use as the -- when they move over to the B-Series, we'll use them as our Alpha customer base. We'll be able to really ramp them up quickly on the next-generation product. So it's really important for us and big focus for us is making sure we have that initial sort of core base of customers this year that when we get B-Series approved, we have a really fast ramp on that.
Michael Freeman: Got you. Very helpful. I'm just going to shoot one more in here. As you are threading this needle, how are you thinking about cash?
Adrian Mendes: We're thinking a lot about it. So I think you've seen -- you can kind of see from the numbers and you see it from our run rate. We are -- as we've said before, right, we are going to have to raise capital to be able to fund this growth. And so that's always on our mind, and it's always a big part of what we have to do. What we don't want to be is a situation where we have approval to go to market, and we've constrained ourselves like from a balance sheet perspective to not be able to really put energy behind that initiative. So I think this is important for us. It's a big focus for the management team and for the Board.
Michael Freeman: Okay, all right. Thank you very much. I'll pass the line.
Operator: Thank you. [Operator Instructions] Your next question comes from the line of Scott McAuley from Paradigm Capital. Please go ahead.
Scott McAuley: Thank you. Afternoon, Adrian, Sara, thanks for taking the questions. Just on the current S-Series, so you highlighted some of the new kind of first in state installations you've had over the past few months, which is great. I was just wondering if you could give an update on kind of the current number of commercial installations of the S-Series that there are throughout the U.S. today.
Adrian Mendes: Yes. We've got 15 now under contract that are out there. We've got another handful that are in evaluation. And then we've got a pretty deep pipeline beyond that, not only within the hospitals we've already got presence, but also kind of expanding that. And one thing that's super exciting about the pipeline is we're getting -- I've mentioned this before, where we're starting to get referrals from surgeons to their peers. So we're getting inbound now, not only within the same hospital group, but also to others as well. And that's super exciting just from us building up the pipeline. So 15 right now and then growing from there.
Scott McAuley: That's great. That kind of touches on my next question on the pipeline. I guess a bit of a follow-up. So I believe the systems that have been placed to date have been leases and then there's the consumables on top of that. Within either the S-Series pipeline or the way you're thinking about the B-Series, can you talk about your expectations around facilities buying the capital equipment and then purchasing the consumables? Do you expect most of them to do that? Do you expect most of them to lease it and then buy the consumables? Or are you looking at a more kind of pay-per-use where they pay a higher kind of fee for the consumable, but there's no kind of down payment required for the capital? Like how are you thinking for the model, both kind of for the next 12 months and then as you go forward with the B-Series?
Adrian Mendes: Yes. Great question. So as you mentioned, year-to-date, we've been placing the devices at no cost in the operating room and then charging a per procedure fee, which we monetize in the form of the consumable, which is used 1 per procedure. We are -- but that business model is evolving and will continue to evolve as we do a couple of things. One is create more demand sort of -- I mean, one way to say is sort of market power, although that seems a weird thing to say because we're pretty early right now. But with the evidence we're starting to see the ability to have -- sell devices as well as charge for the consumable, we've got some early indications that, that actually is going to happen even on the S-Series. So that's super encouraging for us internally. And the good news is that we would -- and so let me just say this. What's very important for us is to ensure that we're maintaining that revenue stream on a per procedure basis, right? Having that close contact and that continuing revenue stream as the surgeons use the device is just very good for -- not only from the financial perspective, but just also from an operational perspective, making sure we continue to be very close to all our customers and making sure that their usage maintains and they're not using it. So that's very important. So we won't sacrifice that. But we are getting an indication that there are hospitals that are willing and able to pay for the device, and we will take full advantage of that, especially when that's their preferred method. So stay tuned for more to come on that, but we've got some very positive early signs that that's happening.
Scott McAuley: That's great. And I guess, can you speak to the utilization that you're seeing? Is it increasing? Are you finding that it's hitting what you're expecting? Are there kind of variations either geographically or in some other form that either you were or weren't expecting?
Adrian Mendes: Yes. So this is important for us. It's an area we started focusing on last year and will continue to be a big focus for us. So yes, utilization is increasing a couple of different -- a few different ways. One is we are starting to get multiple surgeons per machine, which is wonderful because now you just don't have that one surgeon's volume on the machine, and they tend to have their surgery days, and so we can put those together. So that's number one. Number two, as we get new users onto a new machine, they're ramping up faster. So we have a big focus on how do we get them up to speed much more quickly. So revenue is coming earlier on in the curve than it was historically. And then three, and so like -- so both those things are things we're pushing on. Number three, which we're pushing on, but this is where the surprising things come in, is where we find surgeons using our product in ways that we didn't originally anticipate. So in a couple of different early signs of some surgeons using it to scan lymph nodes as an example, look inside the lymph nodes to see what they're seeing there. Another for nipple-sparing mastectomies. Primarily, most of our customers are using it for lumpectomy. So for nipple-sparing mastectomies, there's some value that some of the surgeons are seeing in that use. So all this is great, right? We can not only increase utilization from those particular surgeons, but as they discover utility, we can then start to spread that around the rest of our customer base and future customers. So this is one of these areas we -- especially with the placement model, it's a big focus for us to get more and more…
Scott McAuley: That's great. That's fantastic. And then kind of two -- just two more quickly for me. On the B-Series, so you kind of walked us through the process already, which was great. Obviously, there's been some news articles and things around changes at the FDA, some relatively new hires being let go in the kind of AI medical device space and how they were thinking about that. Kind of in your interactions with the FDA, have you noticed any kind of changes? Are they slower to get back to you? Or is it -- I know the PMA application process is defined within the FDA regulations, so don't expect much slippage there. But just have you noticed any change in your communications with the FDA over the past few months?
Adrian Mendes: Yeah. So good question. You're right. The FDA is bound by rational law or whatever the right phrase is, to time line service level agreements, you have to get back to us. So there's something there. Now one of the good things about us being breakthrough device designation and having spring conversations that we have been -- we know who our review team is, and we do track that closely. And so far as we can tell, our review team is still intact, and these layoffs have not affected them. So that's good. We're in a dynamic environment. That's what our information is right now. We shall see. But right now, there's no indication that any of those -- any of that churn should affect our application.
Scott McAuley: That's fantastic. And then just lastly, I know taking up too much time already, but you spoke to the expansion of the commercial team and kind of threading the needle on the timing, which makes sense. I guess, do you have a sense of the endpoint? So how you get there is one thing, but where you're looking to land in terms of either number of people or kind of general SG&A expansion over the next 12 to 18 months so that once you do get that approval, kind of you're hitting the ground running. Do you have any kind of guidance there on where you're hoping to end up?
Adrian Mendes: Yes. I think I'll talk about it in terms of how I want to get coverage across the U.S. So there's a couple of variables that move in tandem with kind of the stage of the business we're at right now. One is the easy obvious one, which is there are certain geographies we don't have a local salesperson, like the Northeast, like the Northwest. So we cover those areas with our existing folks. But if I look fast forward 18 months or whatever, 24 months from now, we're going to have to have local salespeople in those regions. Our sales team is made up of both salespeople as well as clinical support people, two different, very different profiles. Right now, we have a clinical support group that is rightsized -- I feel like it's probably approximately rightsized, maybe a little bit more growth there, but not too much for the rest of this year. Okay. But as we move into post B-Series approval, some of the workflows change. So one variable is geographical coverage. We certainly need to expand from there. Right now, we've got 3 salespeople plus a manager around the U.S. Probably, if we look over the next little while, we have to expand out double or triple that, let's say, from a salesperson standpoint. But with the B-Series, certain things change. One is we get more efficient in our selling process. Two is the product with AI gets out there and becomes much easier to use, which means our sales team can close deals faster. Three is that we start to get system level agreements in place, which means the sales -- you get one system in place, it takes a lot of time, but then you open up 100 or 200 hospitals after that. So the efficiency of the sales side of the house goes down, okay? And then on the clinical side of the house, as we get AI into market, the amount of effort and training and ramp-up of the new surgeon from a usability standpoint goes down also, which means our clinical support group can now support many more customers. So these are the variables that are moving. Now the precise answer around that is still unclear because those are moving variables. But I do know we need to invest more. We need to get more geographical coverage. And simultaneously, we continue to need to hammer down on efficiency of our sales team because we have AI coming out, which makes them more efficient, and we get more system-level agreements in place, which makes them more efficient. So the way I look at it isn't a dollars per sales -- like revenue dollars per sales dollar spend today is how we just multiply that out. It's going to get much more efficient as time goes on, and we'll kind of see how the pattern emerges as we get the B-Series into market.
Scott McAuley: Fantastic. Thanks Adrian, and appreciate taking the time and answering questions.
Adrian Mendes: You bet, Scott.
Operator: Thank you. And there are no further questions at this time. I will now hand the call back to Mr. Adrian Mendes for any closing remarks.
Adrian Mendes: Okay. Thank you. So thanks, everyone, for listening and joining. We closed out -- I feel like 2024 was -- like I mentioned, a lot of groundwork was laid in 2024 to prepare us for '25 with the S-Series and then '26 with the B-Series. I feel like we got a number of our systems running much more efficiently and effectively than we have historically, which is great because that then gives us a foundation upon which to scale the business. So tons more work to do, obviously. But we're in a very exciting place right now with the business fundamentally. And so really looking forward to 2025. The team is super excited about where we're at. I think we've demonstrated, especially within the team that we can execute, demonstrate to ourselves that we can execute. I think some of the results are showing that we've turned ourselves into more of an execution sort of focused organization. And so more to come this year. And I'm looking forward to keeping you guys updated on all the good stuff. Thank you.
Operator: Thank you. And this concludes today's call. Thank you for participating. You may all disconnect.